Operator: Good day, everyone, and welcome to the Lumentum Holdings First Quarter Fiscal Year 2023 Earnings Call. All participants will be in a listen-only mode. Please also note, today’s event is being recorded for replay purposes. [Operator Instructions] At this time, I'd like to turn the conference call over to Kathy Ta, Vice President of Investor Relations. Ms. Ta, please go ahead.
Kathy Ta: Thank you, operator. Welcome to Lumentum's Fiscal First Quarter 2023 Earnings Call. This is Kathy Ta, Lumentum's Vice President of Investor Relations. Joining me today are Alan Lowe, President and Chief Executive Officer; Wajid Ali, Chief Financial Officer; and Chris Coldren, Senior Vice President and Chief Strategy and Corporate Development Officer. Today's call will include forward-looking statements, including statements regarding our expectations regarding our recent acquisition of NeoPhotonics, including market opportunity, expected synergies and financial and operating results and expectations regarding accretion, strategies of the combined company and benefits to customers and the markets in which we operate. The impact of COVID-19 on our business and continuing uncertainty in this regard, macroeconomic trends, trends and expectations for our products and technology, our markets, market opportunity and customers and our expected financial performance, including our guidance as well as statements regarding our future revenues, our financial model and our margin targets. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our current expectations, particularly the risk factors described in our SEC filings. We encourage you to review our most recent filings with the SEC, including the risk factors described in the quarterly report on Form 10-Q to be filed for the quarter ended October 1, 2022, and those in the 10-K for the fiscal year ended July 2, 2022. The forward-looking statements provided during this call are based on Lumentum's reasonable beliefs and expectations as of today. Lumentum undertakes no obligation to update these statements, except as required by applicable law. Please also note, unless otherwise stated, all financial results and projections discussed in this call are non-GAAP. Non-GAAP financials are not to be considered as a substitute for, or superior to financials prepared in accordance with GAAP. Lumentum's press release with fiscal first quarter 2023 results and accompanying supplemental slides are available on our website at www.lumentum.com under the Investors section. This includes additional details about our non-GAAP financial measures and a reconciliation between our historical GAAP and non-GAAP results. With that, I'll turn the call over to Alan.
Alan Lowe: Thank you, Kathy, and good morning, everyone. Our first quarter financial and operational performance was excellent, and we achieved a record revenue quarter. I would like to thank our global team for their solid execution, which drove first quarter revenue above the midpoint of our guidance, earnings per share at the high end of our range, and operating margin above guidance. We are well positioned for the long term. The recent closure of two acquisitions further strengthens our Optical Communications business. We now have the photonic industry's most comprehensive product portfolio to serve our networking and cloud data center customers. We continue to see strong fundamental demand drivers for network infrastructure. We are seeing strong demand from our customers who have reported record order backlog levels. Leaders in optical fiber are reporting record shipments of new fiber to handle the unrelenting need for bandwidth. Our products and capabilities are well aligned to telecommunication market inflections now occurring.  In fiscal Q1 compared to the same quarter last year, we delivered $136 million of incremental revenue dollars in Telecom, a 79% increase which includes 2 months of revenue from our recent acquisitions. Organically, we grew Telecom 38% year-over-year. Over the years, we have built a foundation of customer trust as our differentiated solutions have been proven within network architectures. Also, Lumentum's revenue exposure to infrastructure markets through our communications and commercial lasers product lines has never been stronger. We expect that greater than 85% of company-wide revenue will come from infrastructure markets outside of consumer in fiscal '23. This is due to the share normalization in consumer discussed on previous calls and recent strategic investments. As we are now three months into the integration of our recent acquisitions, I am even more excited about the high quality of the products and the technology expertise that we have added to our global team. We are in an excellent position to capitalize on our strength in Optical Communications, and we are executing upon our strategic plan. We plan to expand our product offerings in Communication Networking, with our combined R&D teams, realize synergies and greater benefit of manufacturing scale with an overall higher volume of business, and enter adjacent markets now accessible to us with more tools in our tool belt. These acquisitions position us to accelerate long-term technology trends in advanced networking hardware in adjacent markets and to expand our share in the growing telecom infrastructure market. Since closing these acquisitions, we have even higher confidence in accomplishing our goals. We look forward to sharing more on our progress in the upcoming quarters. Last quarter, we gave a full-year financial outlook to help the investment community model our fiscal '23 business. Since then, there have been several developments in the supply and demand landscapes. In Telecom, IC supply shortages are not improving as quickly as previously anticipated. We now expect these shortages to gate our revenue throughout fiscal '23. In addition, like many others, we are now seeing incrementally lower cloud and consumer end-market demand from our customers. Taken together, these changes result in a new outlook for fiscal '23 revenue, which Wajid will discuss in detail later. Overall demand for our Telecom products remains strong, especially in edge networking applications, which are transitioning to wavelength tunable technologies, higher-speed components and modules and advanced transport products. All of these play into the industry's transition to 400G and above speed networks. Now, let me provide some detail on our first quarter results. Telecom and Datacom revenue was up 67% year-on-year with organic Telecom and Datacom up 33% year-on-year. Our supply chain team continues to work diligently to close the gap on IC chip shortages as work to fulfill robust demand for our products. We expect the revenue impact of these chip shortages will be approximately $80 million at the end of the second quarter, similar to that of the first quarter. In the first quarter, we achieved record quarterly revenues in three transmission product leadership areas, narrow-linewidth tunable lasers, tunable products for edge networking applications, and coherent components for high-speed coherent modules and line cards. Our narrow-linewidth tunable laser business performed to our expectations in the quarter. I am impressed with the deep bench of talent that we have added to our team with the recent acquisitions. Our R&D teams are very excited about the expansion of our photonic toolkit in leading-edge modules, silicon photonics, high-bandwidth coherent components, ultra-narrow-linewidth external cavity tunable lasers, coherent DSPs and RF integrated circuits. Regarding DSPs, we are focused on our production tape-out of a 400G capable coherent DSP to enable significant cost reduction in our growing ZR and ZR+ module business. Our tunable products for network edge applications have unique capabilities that help to expand bandwidth in metro access, fiber deep and wireless 5G fronthaul applications. We are expanding both, our front-end wafer fab and back-end assembly and test capacity to serve these growing applications. We doubled our Q1 revenue from the same quarter last year and the next phase of manufacturing expansion in the coming quarters will further increase our capacity by another 80% to 100%. As edge network data rates increase, we are uniquely positioned to serve the growing demand from a diverse set of cable and wireless networking customers. Our 400G and above coherent components also reached a new revenue record in the quarter with approximately one-third coming from 800G applications. We are very excited about our robust product pipeline of next-generation 800G and above components and modules. In the quarter, ROADM revenue grew 23% sequentially and 34% from the same quarter last year due to continued strong demand, along with better access to critical ICs. Shipments of contentionless MxN ROADMs grew over 50% sequentially as next-generation networks need to increase scalability to handle new fiber deployments. In the quarter, we also closed a significant new opportunity for pump lasers in the area of satellite communications. We continue to lead the industry and transport product innovation. In the quarter, we began shipping the next generation of transport products, including ROADM node-on-a-blade architectures and our next generation of contentionless MxN WSS blades to leading customers, further distancing ourselves from our competitors. In Datacom, we saw a sequential decline in EML revenue from a record fourth quarter. The decline was due to lower demand by a subset of cloud data center customers. We anticipate continued softer demand from hyperscale operators, which has lowered our Datacom revenue outlook for the balance of fiscal '23. We continue to drive the next phase of the Datacom industry road map with our 200G per lane EMLs for 1.6 terabit per second applications. We expect these to enter production as we exit fiscal '23, and we are engaged with multiple customers in design-in activities for these leading-edge chips. In addition, we are excited about enabling the transition from copper to optical fiber and data center applications with our 100 gig per lane VCSELs. We expect to ramp this product line during fiscal '24. Turning to Industrial & Consumer. Q1 was up from Q4 due to the new smartphone product launch. As expected, share normalization caused our Q1 3D sensing revenue to be approximately half of last year's level. We are optimistic about our 3D sensing business as applications in automotive and industrial markets begin to ramp. Underscoring this, in the first quarter, we recognized approximately $4 million in revenue from automotive and IoT applications, and we expect this to grow significantly in the coming years. In the first quarter, Commercial Lasers revenue was up 4% sequentially and 26% from the same quarter last year. Fiber Lasers serving industrial applications grew 25% from the same quarter last year. We have a growing set of applications with the introduction of new laser products, which is generating new customers for us, such as in solar cell and EV battery processing. Looking ahead to the second quarter, we expect laser revenue to grow again quarter-on-quarter. I'd like to take a moment to share the significant progress we have made toward achieving our corporate social responsibility goals toward a low-carbon future. In September, we published our second CSR report, which outlines the excellent progress our team has made in ESG initiatives. Our company-wide use of renewable electricity has expanded from 3% to 31%, and we are poised to increase this percentage again this year. We have extended our award-winning diversity, inclusion and belonging program to include training at all of our global sites. We've established new employee resource groups for career development mentorship and employee retention. We look forward to realizing the measurable benefits of this year's initiatives in fiscal '23 and beyond. I'm very excited about Lumentum's strategy, our competitive position and our unique opportunities to grow in advanced communication and networking technologies, edge and cloud computing, Industrial 4.0 and machine vision markets. To capitalize on these trends in the communication, consumer and industrial end markets and consistent with our prior earnings call, we are increasing R&D investments during fiscal '23, which we believe will accelerate top line growth in fiscal '24 and beyond. Lumentum is extremely well positioned to win in the current environment, execute our strategy to invest in our product portfolio, grow in existing and adjacent markets and expand profitability over the long term. I would like to thank our employees around the world for all of their hard work and resilience that has put us in such a great position today. With that, I'll turn it over to Wajid.
Wajid Ali: Thank you, Alan. Net revenue for the first quarter was $506.8 million, which exceeded the midpoint of our guidance range and was a record in quarterly revenue. Net revenue was up 20.1% sequentially and up 13% year-on-year. GAAP gross margin for the first quarter was 39.7%, GAAP operating margin was 2.7%, and GAAP diluted net income per share was a net loss of $0.01. First quarter non-GAAP gross margin was 48.2%, which was down sequentially and year-on-year, primarily driven by product mix, including NeoPhotonics revenue as expected. During the quarter, we incurred $7.3 million in extraordinary charges to acquire IC components from various brokers to satisfy customer demand. These incremental charges were excluded from the non-GAAP gross margin as disclosed in our filings. First quarter non-GAAP operating margin was 27.1%, which decreased sequentially and year-on-year due to product mix, including NeoPhotonics and our DSP investment with the IPG Telecom acquisition and was above the high end of our guidance range. First quarter non-GAAP operating income was $137.4 million, and adjusted EBITDA was $161.9 million. First quarter non-GAAP operating expenses totaled $106.7 million or 21.1% of revenue. SG&A expense was $45.9 million. R&D expense was $60.8 million. Interest and other income was a net income of $2 million on a non-GAAP basis. First quarter non-GAAP net income was $119. 2 million and non-GAAP diluted net income per share was $1.69, which was at the high end of our guidance range provided on our last call. Our fully diluted share count for the first quarter was 70.6 million shares on a non-GAAP basis. Our non-GAAP tax rate remains at 14.5%. Moving to the balance sheet. We ended the quarter with $1.625 billion in cash and short-term investments. During the quarter, we repurchased 300,000 of our shares for $25.7 million. As of the end of the first quarter, we have purchased a total of 9.4 million Lumentum shares for $815.5 million over the last six quarters, reflecting our confidence in long-term growth. Turning to segment details. First quarter Optical Communications segment revenue at $453.4 million increased 22.2% sequentially due to robust demand in our Telecom business and the addition of NeoPhotonics revenue. Optical Communications segment gross margin at 47.6% decreased sequentially and year-on-year, primarily due to product mix and NeoPhotonics. Our first quarter Laser Segment revenue at $53.4 million was up 4.3% sequentially and up 25.9% year-on-year. First quarter Lasers gross margin of 52.6% was sequentially down, but up year-on-year. Before we turn to our guidance, I would like to add some color to what Alan said regarding our outlook for fiscal '23. We continue to experience IC supply shortages which are not improving as quickly as previously anticipated and are now expected to gate our revenue throughout fiscal '23. In addition, like many others, we now expect lower cloud and consumer end market-driven demand from our customers. Based on these factors, our new revenue outlook is $1.9 billion to $2.05 billion. At the midpoint, this is a reduction of approximately 9% from our August outlook, and still is greater than 15% growth from fiscal '22. Our fiscal '23 operating margin outlook is in the range of 19% to 22% and annual EPS is in the range of $4.65 to $5.65 per share. The delay in the improvement of the supply of a small number of ICs is the largest factor within our lower fiscal '23 outlook. Within this outlook, we are reducing spending in discretionary areas while increasing our R&D investments and growth initiatives, both in existing markets and new markets. As we execute on acquisition synergies and work down shortages in IC supply and we begin to realize the benefits from the accelerated R&D investments, we expect to return to our target financial model of 50% gross margin and 30% operating margin in the longer term. Now, let me move to our guidance for the second quarter of fiscal '23, which is on a non-GAAP basis and is based on our assumptions as of today. We expect net revenue for the second quarter of fiscal '23 to be in the range of $490 million to $520 million. Our Q2 guidance incorporates approximately $80 million of impact to revenue driven by shortages of third-party components. Based on this, we project second quarter operating margin to be in the range of 20% to 22%, and diluted net income per share to be in the range of $1.20 to $1.45 per share. Our non-GAAP EPS guidance for the second quarter is based on a non-GAAP annual effective tax rate of 14.5%. These projections assume an approximate share count of 70.2 million shares. Given continued IC supply constraints, 3D sensing seasonality and the lower hyperscale data center spending embedded in our outlook, we now expect Q3 revenue to be down a high single-digit percentage from Q2, followed by a stronger Q4. With that, I'll turn the call back to Kathy to start the Q&A session. Kathy?
Kathy Ta: Thank you, Wajid. Before we start the question-and-answer session, I would like to ask everyone to keep to one question and one follow-up. This should help us get to as many participants as possible before the end of our allotted time. Operator, let's begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from Samik Chatterjee of JP Morgan.
Samik Chatterjee: Yes. Hi. Thank you. Thanks for taking my questions. I guess for the first one, if you can delve into the full year guide a bit more. You're guiding down the full year by about $200 million. The fiscal second quarter though, when I look at and compared to consensus, I think the shortfall was about only $35 million, so it does imply the headwinds sort of become greater relative to sort of at least what consensus was thinking in F 3Q and 4Q. So I'm just wondering if you can maybe share some insights on that as well as break down the sort of $200 million into how much of that is supply versus the lower cloud demand as well as the lower 3D sensing demand that you highlighted, if you can break down the pieces for us? And how do we think about sort of the risk to sort of further cuts on lower demand. That's one question I'm getting as well. And sorry for the long question here. I have a quick follow-up after this.
Alan Lowe: Great Thanks, Samik. So, I think you can look at it a couple of ways. As Wajid said in the prepared remarks, the biggest impact of the reduction is our expectation that the chip shortage will continue through the year, and into the beginning of fiscal '24. So, that's the biggest part of the reduction in the full year guide. I'd say that the combination of the hyperscale customers or subset of customers and 3D sensing is probably about the same impact. But keep in mind, we still have $150 million range of outlook. So, there's certainly a lot of uncertainty as to shifts in that business and how we look at potential upside and potential impact. To your point, there's no crystal ball in our future to know what's going to happen in the economy, and that's why we still have a wide range given that we only have the second half guide. So certainly some uncertainty there. But I think we're very, very confident in the outlook for Telecom as the demand is extremely strong and our Commercial Lasers business continues to grow as we enter new markets and gain share there. So, I'd say, those are kind of the moving pieces as we look at the full year guide.
Samik Chatterjee: The other question that I'm getting, and just to follow up here is that overall, based on all the companies that have reported till date, we're definitely not hearing sort of supply shortages get worse. It's been more sort of in line to previous quarters or improving, so investors are a bit surprised about sort of the worsening that you're seeing in the supply landscape and that sort greater headwinds, particularly again, implied in sort of your full year guide for the back half here, so maybe share some insights on what you're seeing on the supply chain at this point? What's sort of the -- what could drive it to come in better than expected? And what are you baking in for F3Q and 4Q in terms of supply headwinds at this point?
Alan Lowe: Yes. I mean, certainly, supply is getting better, as you saw from our telecom growth in Q1 and our forecasted telecom growth in Q2. So situation is getting better, but it's not catching up with the growth in demand. As we talked about at the end of Q2, our shortages are expected to be $80 million plus or minus some. And that's the same as when we exited Q1. So, we're growing Telecom pretty strongly. At the same time, the demand is growing just as strong as our output. So, we're not catching up with that demand given supply chain shortages. And it is fewer suppliers and fewer components that we're chasing. But at the same time, those few components are needed to ship product. And so, I'd say that we're still constrained by a handful of suppliers with a couple of handfuls of parts that are restricting our ability to meet this very, very strong telecom demand.
Operator: Our next question comes from Simon Leopold of Raymond James.
Simon Leopold: My question may be a bit nuanced. So I apologize if it’s not clear. But I guess one of the things I'm struggling with is on the softer cloud demand you've called out. It's been my impression that some of the cloud operators are trying to rebalance inventory basically trying to get everything in line what they have plenty of versus what they don't have enough of. And that, to me, sounds different than softer demand you described. And if I'm splitting hairs, tell me so. But I'm just trying to understand it. And if it's not softer demand, maybe you could help us understand what specific chips you're short of. Thank you.
Alan Lowe: Okay. Simon, I'd say that the -- when we talked about the hyperscale softness, it's a subset, certainly, not all of them are showing softness. And I do think it's a combination of rebalancing inventory, to your point, where they were driving this extremely hard for EML chips inside the data center. So, they have inventory. I do think they are rebalancing, but at the same time, that rebalancing leads to softer demand on us. So, as they burn down that inventory, we expect that demand on us to pick up, but to your point, there is inventory of these chips at their suppliers, and we believe they'll burn through those in the next couple of quarters so that we would expect that as we get into the end of the fiscal year and into fiscal '24, that demand will pick back up. Does that answer your question, Simon?
Simon Leopold: It does. It does. No, I appreciate that. And just wondering whether or not you would be able to break out what was the NeoPhotonics contribution to the quarter? And if -- in particular, there's ZR related products, both lasers and transceivers were disproportionately affected by this.
Chris Coldren: Yes. Hey Simon, this is Chris. So moving forward, we're not going to -- we're one company, and we've already started executing on synergies. So, we're not going to break out Neo versus Lumentum revenues, if you will. We get in trouble if we even mentioned Neo inside the company, right? We're one company at this point moving forward. That said, product lines like ZR for us continue to grow. It's in very early days. I think, as Alan alluded to, we're seeing this more of an inventory correction on more mature product lines, if you will, that we've been shipping for quite a while.
Simon Leopold: Thank you very much.
Operator: Our next question comes from Meta Marshall of Morgan Stanley. Please go ahead.
Meta Marshall: Great. Maybe first question for me. Just wanted to verify that kind of all the IC shortages that you're seeing are restricting your ability to deliver, these aren't necessarily IC shortages that your customers would have that are slowing kind of their demand? Just trying to make sure that it's kind of your supply chain and not customers? And then maybe a second question for me. just in terms of kind of the cross-sell process between -- or the ability to kind of cross-sell some of the NeoPhotonics and Lumentum products into customers, just how that process or communication of joint things -- joint portfolio that they can buy and just how that process has been going?
Alan Lowe: Sure, Meta. So, when we talk about the supply chain shortages, that's the impact on our ability to supply to our customers. Certainly, our customers are having challenges as well as the whole industry having challenges getting what they need to supply. But when we talk about the $80 million at the end of Q2 and $80 million at the end of Q1, that's demand, we were unable to satisfy to our customers in the quarter. As far as cross-selling, having the broad portfolio that we have now, we will see the benefit of that when we're able to go to a customer with our broad portfolio. I think that just takes time as we go and say, qualification does take quarters and so we should expect to see some of that in the back half of the year. But certainly, our customers are very happy with the acquisitions we've made and are excited about the future product portfolio and the 800 gig and above product and component technology that we bring to the market.
Operator: Our next question comes from George Notter of Jefferies.
George Notter: I guess I was curious about your plan to increase R&D investment. I guess I was wondering what areas of the business you're looking to grow R&D in. And then also, I guess, specifically on that, I wanted to ask about the IPG Photonics division that you guys acquired. I know the plan was to invest in that DSP development program. I think at one point, you guys said $20 million to $25 million in R&D investment there. I'm just wondering if that's still the right number to think about.
Alan Lowe: Sure. Thanks, George. So, I'd say the R&D increase is in a couple of areas, one of which is continuing to have the best products that are differentiated in our core business. And so, that's the ongoing growth in R&D that we expect. I'd say that we're also investing in R&D for new markets, and as we look at the markets that are emerging that could capitalize on our technology and photonics in general, we're doing product development and technology development to be able to enter those markets. And then to your point, we are increasing our R&D with the acquisition of IPG Telecom transmission product line, specifically in the DSP area where we have a very, very talented team that had been working on 400 gig ZR DSP. And as I said in the prepared remarks, our focus now is to complete the production tape-out of that 400 gig ZR, ZR+ DSP and really drive cost efficiencies as we have been full vertical integration for our ZR and ZR+ componentry that should give us the best-in-class cost for the market. So that's continuing. We're excited about the progress. The team is great. We're growing that team and we continue to make those investments. As far as the $25 million, yes, I'd say that's in the ballpark of what we're looking at to complete that. But then we're going to continue to invest in DSP technology with next-generation DSPs that we're developing in our road map.
Operator: Our next question comes from Vivek Arya of Bank of America.
Blake Friedman: Hi. Thank you. This is Blake Friedman on for Vivek. Just a quick one on gross margins, looking at the guide. I know you mentioned you have to realize synergies in the NeoPhotonics acquisition, but there's some mix issues. So, as we kind of progress forward, I was hoping you can kind of provide maybe any high-level commentary on the trajectory of gross margins, specifically in the back half of the year as well with revenue projected to decline half-over-half? Thanks.
Wajid Ali: Yes. So, I'll start off on answering this, and Alan and Chris can jump in if they'd like. So yes, so quarter-on-quarter, moving into Q2, we're seeing negative seasonality on our 3D sensing business, quite certainly that's dropping greater than 25% going into Q2 versus Q1. And so, given that that's a chip business, that certainly has an impact on our gross margins. Alan already talked about some of the challenges that we're seeing with our cloud customers or a subset of our cloud customers. And that business is also a chip business. And so, that's having a negative impact on our gross margins as well as we move through fiscal Q3 and Q4. With the overall lower revenue levels, we'll also see some negative manufacturing overhead absorption throughout our fiscal year. Now offsetting that, we are doing very well with our synergies that we had communicated out to all of you as part of the acquisition, both on the operating expense side as well as on some of the consolidation from a facility standpoint as well. The facilities consolidation takes outside of the fiscal year. And so, we'll see most of that benefit in fiscal '24. But for operating expenses, we're already starting to see some of that benefit in the first half of this fiscal year, and we'll certainly see more of that, and it's embedded within the outlook that we've provided for Q3 and Q4 of our fiscal.
Blake Friedman: Helpful. Thank you. And then just kind of a quick follow-up on the 3D sensing side just because we've heard some of smartphone vendors kind of also exposed to your largest customer in that area have some relatively resilient results. I just wanted to confirm that the lower outlook is more related to like a unit issue and less of higher-than-anticipated share loss.
Chris Coldren: Yes. Hi, Blake. This is Chris. Yes, certainly, our 3D sensing outlook is based on our expectations as of today. And as a reminder, obviously, we had -- are expecting a large year-over-year change, given we had a very high share of that business over the past several years. So, the largest driver of our year-over-year change is share normalization. And it's a transition year. We expect to build upon that normalized business as we look ahead. But nearer term, there are obviously other dynamics that impact our assumption, including manufacturing and supply chain disruptions around the world and the ecosystem that we play into and our overall expectations around the demand environment. So, that's caused a little bit of adjustment in our updated outlook.
Operator: Our next question comes from Alex Henderson of Needham.
Alex Henderson: So last quarter, you had Datacom sold out, up 17% quarter-to-quarter and you were adding significant amount of capacity in the headlights. And now you're telling us that your Datacom products are anticipating much weaker demand and guiding down in it. So I guess there's a couple of related questions related to that. One is are we sure that this is simply a function of inventory? Or is there a shift in the type of Datacom products that the hyperscalers are using as a result of shifting to AI, and is there a pricing pressure in it or any other variable? And are you changing your production timing targets or anything of that sort to bring the time of new capacity coming on more in line with this lower demand?
Alan Lowe: Thanks, Alex. So, I would say, as we said in the prepared remarks, this is a subset of our hyperscale customers burning off inventory and of existing chips. We're not changing our production targets and our production investments given that it takes 18 to 24 months to have an impact on our ability to grow our wafer fab business. So, those investments that we've made over the last couple of years are coming on line. And I'd say they're right on track with aligning with that next generation of product for us, which is the 200 gig per lane EMLs as well as the 100-gig per lane DMLs. And so, we need that capacity as we expect continued growth as we look at fiscal '24 and beyond. So, I'm not disappointed with our innovation engine in Datacom. I think it's exciting, and our customers are telling us it's exciting. I'd say more of a six-month air pocket with respect to a subset of hyperscalers that are burning off inventory and lowering the demand on us. So, I think we're still excited about the business. And we think the long-term Datacom business for EMLs, DML, silicon, photonics, all that we have access to in our broad portfolio make us confident that that's a long-term growth business for us.
Alex Henderson: Just to be clear, there's no change in competitive dynamics or an erosion in price underneath that? And then the second question I wanted to ask is on the 3D sensing. Your share has come down very substantially. Where do we think we are at this point? Is it -- are you just splitting it with your primary competitor, or is there still downside risk to share? I mean, this is -- these are very steep declines. And then, additionally, on 3D, is there any change in the pricing? You didn't mention, you said share -- disruption in demand, but you didn't mention pricing. Is the pricing under further pressure? Thanks.
Alan Lowe: I'll take the competitive dynamics in Datacom and ask Chris to take the 3D sensing question. I'd say in our markets -- all of our markets that we participate in, pricing is -- there's competitors, and there is pricing pressure. I'd say with the consolidation of the industry over the past 10 years, it's very different dynamic than it has been in the past. But as you get into the second or third year of existing product, some of your competitors catch up with you. And therefore, there is competitive pricing dynamics, and we're seeing that to a certain degree in the Datacom business. But that's not what has impacted our outlook for fiscal '23 as much as the overall lower demand and burn off of inventory at the subset of our hyperscalers. So, I'd say that as we look forward, pricing at 200 gig and above EMLs, will have a very, very competitive product that's going to be very economically compelling for our customers to shift to, as their costs will go down at 1.6 terabit compared to where they are today. So, I'd say from that perspective, you get a reset in pricing, and we're very excited about our progress there. Chris, do you want to take the 3D sensing question?
Chris Coldren: Sure, sure. So I think -- Hey Alex, good morning. I can't comment on specific numbers of share. But I would say that a safe assumption is that it is normalized, that it is much more equitable now than it has been in the past. Prices do come down year-over-year. And if you recall last year, there was a lot of new chips introduced, if you will. And so, the steepest part of the year-over-year price down typically happens the second year after you introduce a new chipset. So, we're not really seeing anything unusual from a pricing standpoint. In terms of the comments around demand and disruption, if you will, to the earlier question, that was really focused on the incremental changes in our outlook that we're talking about this quarter relative to last quarter versus the overall envelope of our revenue, which we had highlighted last quarter would come down 40% to 50%, and that's -- now we're at the higher end of that given the incremental changes that have happened in the demand environment. I hope that answers your question.
Alex Henderson: To be clear, there's no pricing issue -- no change in the pricing. The pricing was declining, but it's declining on schedule.
Chris Coldren: I think that's a good way of saying it. Yes, that we're not seeing anything unusual that, as Alan highlighted in his comment about Datacom, certainly with the competitor in the mix, and new chips that are in the second year, competitor catching up, that adds to pricing declines year-over-year, but we're not seeing anything accelerating or unusual at the current time and don't expect that really to be a major factor moving forward throughout the remainder of this fiscal year.
Operator: Our next question comes from Tom O'Malley of Barclays.
Tom O’Malley: I just wanted to dive a little bit further into the fiscal year guide. So you're taking down top line high single digits, but you're taking down the operating margin structure, almost 20%. Can you just talk to what's causing that? Clearly, there's more mix towards the Telecom side. I guess, question one is, you prior had thought the telecom business was going to grow greater than 20%. Is that still the assumption? And then question two is, given the new mix of the business with adding Neo, you guys are talking about getting back to a 50% gross margin model longer term. But just inherently given the -- given what you're seeing in the mix away in the Datacom business and just the Neo contribution, is it realistic to think that you guys will ever get back to that margin structure just given the new mix of business? Thank you.
Wajid Ali: Yes. Here, I'll start off and then Alan and Chris are welcome to jump in. Yes. So, we are continuing to see growth in our telecom business. And so, the figure you mentioned of greater than 20% still holds. Our NeoPhotonics business coming in is adding to the product mix, which we had already talked about in our August conference call. But in addition to that, as we look at some of the chip-based businesses coming down in demand outlook, both on the 3D sensing side and on the Datacom side, that's having more than a negative impact on our overall operating margins versus the growth we're seeing in Telecom just because of the product mix of that business. And so that combined with just some of the manufacturing overhead declines, we'll see within our Datacom business in Q3 and Q4, that's adding some operating margin pressure. Like we said in our prepared remarks, we're continuing to invest in R&D. And so, we're not cutting back on that because of what we deem to be some temporary demand shortfalls. And so, that's why you're seeing an operating margin outlook of 19% to 22%, which is well below what we had outlooked back in August. Now, as far as the longer-term goal is we're continuing to invest in our Datacom business. Alan talked about the fact that it took us 18 to 24 months to add capacity in Datacom. And so, our thesis around the secular growth in that part of our business still holds. We're continuing to invest in automotive and IoT, and so both of those are chip-based businesses. And as that turns around, we should see improvements in our overall operating margin profile. Synergies is something that I spoke about in one of the earlier questions that was asked, the facilities consolidation portion of the synergies that are going to happen in NeoPhotonics is -- does take longer than 12 months to do. And so, as you see or as we all see some of that flow through, that will also provide us with a tailwind. And so that's the reason we really haven't moved our overall target model is because we have confidence around all three of those things.
Tom O’Malley: Helpful. And if I could just sneak one more in. On the Datacom side of the business, and this got asked before, but I just -- I'm trying to get a little more clarity. You guys, I think Alan mentioned pockets of weakness, which, in my eyes, means certain customers not across the board. Could you just talk about when during the quarter you started seeing that weakness? Just because some of your peers are actually guiding to continued strength on the data center side, some guys are talking about inventory, but this is really the first time we're hearing about potentially demand deterioration. Can you just give the timing of when you saw that change just because going from capacity constrained to sequential declines is a pretty material turnaround. Thank you.
Alan Lowe: Yes. I mean, I don't know the specific date that our customer told us they had inventory, but I'd say whether the investments in infrastructure are different than they were three months ago, hard to say. I think this is a -- I think, one of the other analysts called the inventory balancing -- I'd say it's more of an inventory balancing than anything else because we did receive large orders. If you remember a year ago, our book-to-bill on Datacom was huge. And as we added capacity, we were able to fulfill that demand. And I think maybe our customer didn't think we were going to be able to do that. So as we did that, the inventory showed up, and they took down their future demand with respect to this product. So again, I don't think this is a fundamental change in overall demand. I think it's an inventory correction at a subset of our customers. And so, I'd say that long-term Datacom business for us is going to be very, very strong.
Operator: Our next question comes from Christopher Rolland of Susquehanna.
Unidentified Analyst: This is Matt Meyers [ph] on for Chris. I wanted to ask on your broker IC purchases. I was just kind of curious what the ASP premium is purchasing from brokers versus directly from customers. And was this for FPGAs? And then, as a follow-up there, when do you think you no longer need to be buying these products through brokers?
Alan Lowe: Yes. Chris, it really varies. And it also depends upon what products they go into. So, we see anything from 2x to 100x of the ASP for a given component. And if it goes into a lower ASP product for us and the broker is asking for 100x the price, we typically say no, because it doesn't make any sense at all to do that. So, I'd say it's not necessarily in FPGAs as much as it used to be. So that's one area that we've seen improvement on. This is more the analog stuff and power ICs and typical jelly bean stuff that we're seeing the need for paying brokers. But again, we don't see this -- we see it improving, but we don't see it getting resolved over the next six months, and that's why our -- it's incorporated into our new outlook for fiscal '23.
Operator: Our next question comes from Ananda Baruah of Loop Capital.
Ananda Baruah: Yes. Two quick ones for me, if I could. On the operating margin fiscal year outlook reduction, proportionately, how much of it is some gross margin, and how much of it is from incremental OpEx? And then I have a quick follow-up to that. Thanks.
Wajid Ali: Yes. So, our view on operating expenses hasn't really changed that materially. I mean, we're continuing to ramp up our R&D investment throughout the quarters and our fiscal Q2 operating expenses will be above -- probably high single digits above our Q1 operating expenses. And so, much of the decline that we are seeing is in the gross margin line simply because of some of the product mix matters that we had talked about earlier with 3D sensing, Datacom as well as reduced factory utilization in the back half of the fiscal year. So, that's how we're seeing the P&L playing out throughout the quarters.
Alan Lowe: So just to add to Wajid's comment about operating expenses in Q2. Yes, we have one extra month of the NeoPhotonics and IPG acquisition in Q2, whereas we only had two months in Q1. So that's one of the key drivers for why OpEx is going to be up in Q2,
Ananda Baruah: And just a quick follow-up, Wajid, you’d begun to touch on it, is on the gross margin. Proportionately, how much is mix and how much is revenue leverage or utilization change -- in the fiscal year, change...
Wajid Ali: Yes. So just very high level, probably a little bit more than 50% is product mix and then the remaining is factory utilization. Probably most of it is product mix.
Operator: Thank you. Our next question comes from Michael Genovese of Rosenblatt Securities. Michael, please go ahead.
Michael Genovese: Great. I'll just ask two questions in one. Thanks for getting me in here. I just want to ask very directly, is there any change in the telecom outlook in terms of demand? I mean, this sounds like it reads well for telecom demand to me, but are you seeing any change with the change in the revenue guide? And then in terms of solving this supply problem, it seems like it's going to line up at the beginning of fiscal '24, sort of mid-calendar '23 is the current expectation. And I'm wondering, is that because the analog vendors will be adding new fabs or new lines of this like older stuff, like A-to-D converters and power supplies and things like that that you guys need, and that's what's going to solve the problem, and that's why that timing is. Thank you.
Alan Lowe: Yes. Thanks, Michael. I'd say you're right, the Telecom demand continues to be very strong. I continue to get escalated phone calls from executives and our customers. So, it tells me that it's real demand and not necessarily inventory build. So, I think the outlook and fundamental demand drivers for Telecom continue to be very solid. So I'd say that remains a good product -- a set of products for us. As far as the supply chain problem, yes, I'd say it's a combination of our expectations that our suppliers are adding capacity and freeing up capacity for us, especially as they see some softening in other areas of their business. So, that just takes time for them to transition over to our products as they start new wafers, or add new capacity. And these are investments and they started over a year ago that will come on line in calendar '23. So, that's kind of why we line up with continued impact through the balance of our fiscal year. And keep in mind, we have a cycle time of production as well. So, we need to get the chips in by April in order to impact our June shipments. And so, that's our visibility, and that's why we believe that we're going to continue to be impacted, especially as demand is expected to continue to grow.
Operator: Our final question comes from Dave Kang of B. Riley.
Dave Kang: My first question is regarding the expedite fees, I think it was about $7 million first quarter. What was it previous quarter? And how much are you baking in the current quarter, December quarter? And my second question is for 3DS projections that you provided at OFC being flat, do you need to update that for us?
Wajid Ali: Yes. So, I'll take the first question and then Chris can take the second one. So, on the IC charges, yes, it was -- I think it was $7.3 million this quarter. It was actually higher -- significantly higher in the quarter prior. You have to take a look at our filings to see what we reported on that. Going into fiscal Q2, we're burning through some of the inventory that we purchased in Q1. And so, we'll report on that at the end of next quarter because we do pull it out of our non-GAAP operating guidance. It will not have an impact on that. It will be a reconciling item within our results. Chris?
Chris Coldren: Yes, sure. So, on the 3D sensing, right, we talked about a minus 5% to plus 5%, three-year CAGR. So simple math, a little more than 15% down or 15% up over the next three years, and that was on a $400 million to $450 million 3D sensing business expectations at the time. So, I think we -- what we've seen is the share normalization happen perhaps faster than we had expected. So, the sort of the shape of the curve is sort of a deeper V or U shape, but we continue to believe that this is a strong growth business, and we can build upon the business that is now normalized, if you will, from a share standpoint and in particular, building upon that base with multiple new customers and new applications. So, we're not necessarily walking back those numbers at this point. I think the opportunity still remains to be able to add the incremental revenue to get into that range.
Kathy Ta: Thank you so much, Dave. And I think that was our last question. So, I'd like to pass the call back over to Alan for some concluding remarks.
Alan Lowe: Thank you, Kathy. I'd like to leave you with a few thoughts as we wrap up the call. I am very excited about the tremendous opportunities ahead of us as we serve the exponential requirements for data bandwidth in the AI, 5G and cloud computing market inflections. We have a proven playbook on how to win with our best-in-class products and technologies. We also have a unique opportunity to drive manufacturing scale in the photonic industry, and we are committed to strongly invest in both, innovation and manufacturing capacity, and capability to deliver on customer needs today and in the future. With that, I would like to thank everyone for attending, and we look forward to talking with you again during upcoming investor events, which you will find posted on our website. Thank you.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.